Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to Liberty Global’s Investor Call. This call and the associated webcast are the property of Liberty Global and any redistribution, retransmission, or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. At this time, all participants are in a listen-only mode. Today’s formal presentation materials can be found under the Investor Relations section of Liberty Global’s website at www.libertyglobal.com. Following today’s formal presentation, instructions will be given for a question-and-answer session. As a reminder, this conference call is being recorded on this date, November 6, 2013. I would now like to turn the conference call over to Mr. Mike Fries, President and CEO of Liberty Global. Please go ahead sir.
Mike Fries - President and Chief Executive Officer: Thanks operator. Welcome everybody. As usual, we have a large group with us in various parts of the world. Folks you might hear from today though Charlie Bracken and Bernie Dvorak, our co-CFOs; Diederik Karsten who runs our European Operations; Balan Nair, our CTO; Rick Westerman is on and several others who may have to say a word or two. I am going to turn it back over to the operator for the Safe Harbor and we get right into it.
Operator: Thank you. Page 2 of the slides details the company’s Safe Harbor statement regarding forward-looking statements. Today’s presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company’s expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time-to-time in Liberty Global’s filings with the Securities and Exchange Commission, including its most recently filed Forms 10-K/A and 10-Q. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. I would now like to turn the call back over to Mr. Mike Fries.
Mike Fries - President and Chief Executive Officer: Thanks operator. So our agenda is typical I think for those who have attended our calls in the past. I will give you some overview and remarks about the business and the quarter. Charlie is going to jump in at the numbers and then we are going to hopefully have plenty of time for questions. We are working off of slides which I think you can access on the website now and I am going to start on Slide 4 and talk about operating and financial highlights. I think everyone knows that the engine of our business, really the foundation of our strategic plan is organic growth in subscribers, revenue and cash flow. And quarter-after-quarter we continue to deliver that growth. We added 314,000 net new RGUs in Q3 and over 870,000 year-to-date. The opportunity to drive digital television deeper into our video base and capture broadband market share in Europe has never been greater. This is also reflected in our financial results. If you include Virgin Media for the full period, we are right in line with our mid single-digit growth objectives with 4% revenue and 5% OCF growth year-to-date. Charlie is going to take you through the details, but in our larger markets like the UK, Switzerland, Belgium, and Germany which represent roughly 70% of our revenue. We are actually north of that average year-to-date OCF growth and more in the 6% to 9% range. And of course free cash flow represents our bottom line if you will and on a combined and adjusted basis, free cash flow was up 24% year-to-date to nearly $1 billion, which is good news as we head into our strongest quarter of the year. Speaking of cash, I am sure by now you are all aware of our deal to sell Chellomedia to AMC for a littler over $1 billion. This was one of those win-win transactions and a great outcome for Liberty Global versus the premium price well it was largely a hidden asset. And everyone has their own math of these sorts of things, but we estimate the multiple at around 12 times trailing operating cash flow. More importantly, it frees up resources, if you take a fresh look at more strategically aligned content needs and opportunities in Europe at a time and we are still the clear market leader in video distribution. I know everyone is anxious to hear about the Virgin Media and how the integration is going and we do have a slide on that in just a moment. And certainly one of the key headlines is our current belief that the synergies could be significantly higher than we originally estimated as much as double of the earlier forecast in closer to $350 million. Perhaps in rest of Europe, we continue to push our competitive advantage against telcos. In particular, we substantially increased maximum download speed to over 200 megabits in most of our markets with our lead bundles now averaging 100 and 150 megabits, more on that in a minute. I will wrap this slide up with a few comments in our capital structure, which remains very strong and geared to drive equity returns. Pro forma for the sale of Chello which would happen in Q1, our total liquidity is around $6.5 billion. Consistent with our strategy, we have maintained the gross leverage in the five times range with our average maturity almost seven years out and our cost of debt fixed at around 6.7%. And then again importantly, we have now purchased a billion of our own stock year-to-date and we are on track to complete our two-year target of $3.5 billion by mid 2015. So it feels to me and I think to the team like we are firing all cylinders at this point. So let’s begin with some of our operating results beginning on Slide 5, which shows our third quarter net adds by product and really for the last four years in the third quarter. First of all looking at our current quarter in green, you will notice some positive trends starting with record Q3 broadband additions of 214,000 on the top left of the chart of course by the inclusion of Virgin Media. We now serve over 14 million broadband data subs representing about 31% penetration. And our lowest video subscriber loss just 53,000 since 2007 on the bottom left of the chart. Our digital penetration stands at around 50% which means we have an up-sell opportunity to around 8 million analog video subscribers still. And then the bottom right you will see total net adds largely in line with historical performance at 314,000. Broadband remains our core product and really anchors broadband – bundled packages in every market. And in Europe given the unique competitive framework we operate in, our cable networks are redefining what broadband needs to consumers. Slight 6, shows what’s happened just in the last 12 months in our top five markets. The green bar shows the broadband speed in our “lead bundle” or almost popular package this year and last. And the blue line is the maximum speed offered in that market. If you just eyeball the chart you will see that we have doubled speeds of our lead bundles in Germany, Belgium and the Netherlands and now advertise 100 megabits to 120 megabits as our sweet spot offer in those markets. We have tripled speeds in Switzerland to 150 megabits. And virgin currently offers 60 megabytes per second in its premier bundle, but already around 60% of all super fast broadband subs in the U.K. and we certainly have plan to solidify that position. Folks always ask does anybody this much speed and I think based upon the fact that the vast majority of our sales include these types of offers, the answer is apparently yes. In fact average consumption on our networks has increased 10 fold in the last six years from 170 megabytes per day to – in 2007 to about 1.7 gigabytes today. And there is more and more tablets, smartphones, smart TVs and laptops in the home along with increased video streaming, it’s going nowhere but up and our networks already launching 500 megabit product with DOCSIS 3.1 around the corner we can get to 1 gig or higher easily and efficiently. If you mapped out the VDSL or fiber plans of our primary competitors across Europe and you can see that the regulatory trends we should have a huge advantage in broadband for the foreseeable future and that gives us a lot of comfort with this component of our growth story going forward. The other half of our one-two punch in Europe is the rollout of advanced TV platforms which we have updated for you on Slide 7. This might be a good opportunity to remind you that when it comes that when it comes to our video or pay-TV business, Europe is very different from the U.S. OTT services exist in many markets but they are far less developed and sitting at very low penetration rates. Content rights are highly fragmented by language and territories, through the air broadcasters control most of the rights and linear televisions still dominates TV viewing. And lastly subscription video prices are relatively low and inexpensive at around €10 to €12 per month on an entry level. Now several trends are universal and have emerged in Europe in particular increased consumption of on-demand and OTT video and the attraction to new elegant user interfaces what I call the functionality factor. Today we are uniquely positioned to satisfy those two demands with our advanced TV platforms, which are now launched in five countries and serves 2.2 million households including over 365,000 Horizon subs in Holland, Switzerland, Germany and Ireland. We already had 18% penetration in Switzerland and Holland after 8 to 12 months and 9% in just two and half months in Ireland. Those numbers mirror Virgin’s TV platform, TiVo platform in the U.K. which has reached nearly 50% penetration in 2.5 years. Just as Comcast has seen with their X1 platform, customers don’t want to leave, they just want a better experience and that’s exactly what we are giving them all the content, all the functionality, all the devices, all the time. And these platforms are not just creating excitement and reducing churn, but they are driving revenue. An additional $6 to $10 per month which is significant when your average ARPU per customer is $46. With that as a basic update I will run through some highlight form our big five countries as we call them. Beginning with Germany on Slide 8 where we generated 124,000 net new RGUs in the third quarter and for the 11th straight quarter added more broadband subscribers in our three markets than KDG and all the international DSL operators. With the launch of Horizon in September and our premium bundle featuring 150 megabit product, we are focusing more on customer economics to balance out the tremendous volume we have consistently experienced there. For example, we have three periods for new subs implemented more activation fees compared to 2012 and improved the sales channel mix. Blended ARPU per customer was 8% to €20.50 and is up 30% over the last three years. And with the KBW integration largely complete we are generating operating cash flow margins of 61%. Finally, with all the commotion around Vodafone’s purchase of KDG and the recent court ruling on the merger remedies applied to our acquisition of KBW. Some people have questioned our commitment to German market, which of course is absurd. Germany was 40% of our subscriber growth. It remains our fastest growing market financially. It couldn’t be happier with our position. Lutz Schuler and the management team are terrific and our long-term potential in Germany has never looked better. Moving to Belgium on Slide 9. Telenet had a record net adds of 48,000 in the third quarter and net adds are up 50% year-to-date. Subscriber growth has been driven by the launch of revamped and simplified triple play bundles in June, which helped add 32,000 new triple-play subs, our best result in four years and reduced video losses to essentially zero in the quarter. At the same time, the mobile business, while slowing down has been a welcome source of revenue. We have doubled the mobile subscriber base in the last 12 months to 713,000 and quad play penetration is currently just 15%. So there is still room for growth. John Porter, who moved into the CEO position, has done a great job of building morale and focusing the company on positive growth and good industry relationships. We have some good news to report in Holland in the quarter on Slide 10 as the business returned to positive subscriber growth. We actually started seeing signs of improvement mid summer and we pounced on that with the introduction of the new 50-year-old bundle, which includes 120 megabits more HD channels and an easy upgrade path to Horizon. Broadband growth has been a popular metric in the Dutch market. And we added 12,000 new broadband subs in the third quarter, that’s up 20% from last year and three times KPN’s Q2 result this year. So things appear to be moving in the right direction for both cable operators. The next step on the product roadmap for Holland is we expand mobile offerings and we started rolling out Wi-Fi spots across our footprint of almost 3 million homes. We expect to have 500,000 by early 2014. This will be a free service to our broadband subs to help enhance value and improve retention. These developments and the new team led by Baptiest Coopmans really make me cautiously optimistic that we can continue to show growth in improvement in Holland next year. We are really pleased with the continued growth in Switzerland on Slide 11. We added 19,000 RGUs in the third quarter and 45,000 year-to-date driven namely by broadband, which was up 30% year-over-year. Swisscom hasn’t reported yet, but we estimate that our share of broadband net adds on footprint was approximately 60% for the first half of the year. A 150 megabit broadband product generates 70% of our triple play sales in the quarter. The customers are willing to pay more for the best broadband. We are getting into them actually including 500 megabit service, which is up and running and will rollout to selected markets next year. The Horizon TV rollout is progressing well with over 110,000 subscribers to-date at an incremental price point of CHF10 per month. And my remarks thus far have been largely operational and Charlie is going to hit the financials. But it’s worth highlighting that we achieved 10% rebased OCF growth in Switzerland this quarter our best result in five years. Eric Tveter and the team have done a great job getting this large and important market for us back on track. And I will close out with update on Virgin Media on Slide 12. I’ll start by saying that we get more and more comfortable with this acquisition as time goes by. No question about it and there have been a couple of surprises. Tom Mockridge and the entire management team have done an outstanding job of identifying issues, addressing opportunities and keeping things moving smoothly as we fully integrate the business. Operationally, Virgin is making good progress on the consumer front at a time of increased promotional activity in the UK market. We added 14,000 new customers in the quarter and increased revenue per customer by 3%. This was obviously driven by continued growth in superfast broadband, which now represents 70% of our internet base and continued investment in our video business. With another 165,000 TiVo subs added in the quarter, the launch of BT Sports in mid August and our announcement around the Netflix deal in September. Now, if you parse through the numbers, you will see that the B2B division has underperformed really going all the way back to the January-February timeframe, but we are starting to see improvement in the underlying trends. The year-over-year rebased revenue was up 2% in third quarter compared with previous declines and I am impressed by Peter Kelly who joined us in mid-September from Vodafone. And remember, we only 4% market share of the UK broadband of B2B business and virtually no presence yet in the Soho space. Virgin is making good strides in mobile. We signed a new deal with EE and expect to launch the iPhone later this month. And then finally, a tremendous amount of time and energy has been devoted to the integration of Virgin, what we call our value creation project. We have activated nearly 100 work streams to identify and implement opportunities. And as I said earlier, we believe we can do considerably better than our earlier estimate of $180 million in OpEx and CapEx synergies and are currently forecasting about twice that number on a run-rate basis by 2016. So we are only about five months into this business, but we feel really good about the progress. The new management team is firmly in control of the ship. Consumer business is doing well. And with synergies greater than expected, we are confident we can deliver mid single-digit OCF growth next year and beyond. With that, Charlie I will hand it over to you.
Charlie Bracken - Co-Chief Financial Officer: Thanks Mike. Excuse me I am on Slide 14 now. So our quarterly results for Q3 do include Virgin Media for the entire quarter and on the year-to-date basis. Virgin Media is included for all of Q3 and about three weeks of Q2. Now this slide provides year-to-date view of our rebased revenue and OCF growth and adjusted foreign exchange, acquisitions and specifically as it relates to Virgin it includes the full nine months. The bar on the left highlights our results including Virgin Media and the second bar shows Virgin Media performance on a standalone basis. And the third bar brings the two numbers together to form our full period combined growth rates. Through the nine months Liberty Global excluding Virgin Media generated 5% top line growth fueled by our Belgian and German operations we have posted 12% and 8% growth over the period. The middle green bar shows Virgin which produced 2% rebased revenue growth for the nine months. Underlying results were led by cable subscription revenue at 6% and that’s offset by mobile of 1% and actually a decline in B2B revenue of 1% for the year-to-date. But as Mike said Virgin’s B2B business did deliver positive year-over-year growth in Q3 as compared to the negative 3% for the first half of 2013. The third bar shows our combined results for the full nine months period which reflects 4% rebased revenue growth for the company overall. And the right half of the slide depicts our rebased OCF growth. Excluding Virgin Media, we delivered 4% growth for the nine months including 3% in Q3. And both results were weighted down by certain non-recurring items including higher integration costs due to over $15 million of Virgin Media integration costs incurred since the acquisition date. Most of which were incurred at the corporate level. On a standalone basis Virgin Media generated 6% rebased OCF growth for the year-to-date period including 3% in Q3. So combined the two results and rebased OCF growth rates are 5% year-to-date. Slide 15 highlights our geographical results for the nine months period. And I will dive deep into the European OSF performance on the next slide. Our European business reported $9 billion in revenue and $4.4 billion of OCF for the year-to-date reflecting year-over-year rebased growing of 5% and 4% respectively. And the principle drivers of our year-to-date performance were our Belgian, German and Swiss businesses which offsets by the continued challenges in the Netherlands. Outside of Europe, our Chilean business produced revenue of $748 million and OCF of $257 million and that represent 8% rebased revenue growth and 10% rebased OCF growth as retail and mobile has left with the drag in the year-to-date period compared to 2012. The third row shows our reported results for the nine months including the stub period for Virgin Media following the completion of the acquisition in early June. And as you will see we reported revenue of $10.3 billion and OCF of $4.7 billion reflecting rebased growth of 4% on each metric. Most importantly, the final shows that the combined businesses would have generated $13.1 billion of revenue and $5.8 billion of OCF. And those figures represent 4% of rebased revenue growth year-to-date along with 5% rebased OCF growth. Slide 16 looks at our key European markets of on a quarterly and year-to-date basis in terms of rebased growth. Now I am not going to spend too much time on Germany, Belgium because Mike has given you the operational highlights, but both of them performed very well in 2013 delivering high-single digit rebased OCF growth in Q3 and year-to-date. And our business in Switzerland had its best quarter in five years has been 10% rebased growth and 7% on the year-to-date business – basis and that’s driven by a combination of both volume and price growth along the continued focus on cost containment and favorable phasing of market demand. Virgin Media reported 3% rebased OCF growth in Q3 and 6% year-to-date and its important to note that as we look to Q4 our rebased growth in the U.K. will face a significant headwind as Virgin have more than ₤50 million of positive non-recurring items in Q4 2012. Moving to Central Eastern Europe our collected Central and Eastern European operations posted rebased OCF declined to 7% for Q3 and 3% for the year-to-date period. While we continue to see impacts of competition in Poland and the Czech Republic, we are starting to see some stabilization in the OCF of our operations in Hungary, Romania and the Slovak Republic, which grew modestly on a combined basis in Q3. And then finally moving to the Netherlands, you can see an OCF decline of 5% year-to-date and 10% in Q3 and that’s due to the high level of competition in this market. And it’s worth pointing out that our local currency OCF improved modestly on an absolute basis in second quarter to third quarter, but we still think Q4 will remain financially challenging in this market. Moving to Slide 17 to review our combined property and equipment additions as well as our combined adjusted free cash flow results for the year-to-date period, our combined property and equipment additions fell slightly year-over-year to 21.6% of revenue or $2.8 billion to the nine-month period of 2013 and that’s compared to 21.8% of revenue of $2.7 billion for the same period last year. In terms of our breakdown by category, roughly 57% was related to CPE and scalable infrastructure, 24% was attributable to network investments and the majority of the balance to support capital. So over 80% of our year-to-date CapEx was revenue focused return driven spending. On the right hand side of the page, you will see that we generated combined free cash adjusted of $968 million for the first nine months, up 24% year-over-year. And as we look to Q4 we expect to deliver the best free cash flow quarter of the year and essentially higher than our Q3 adjusted free cash flow $208 million. Slide 18 recaps our leverage, liquidity and repurchase program. We have finished Q3 with $44 billion of debt which includes roughly $2 billion sequentially from Q2, which is mostly to do with FX investments and an incremental burn of €680 million written to our Ziggo investment. Including the loans back on interest in Sumitomo and Ziggo, we have gross and net leverage of 5.3 and 5 times respectively, which were consistent with our Q2 levels. We ended Q2 with a fully-swapped borrowing cost of 6.7% which was down 80 basis points compared to Q3 of last year. And moving across the page, the middle pie chart depicts, pie chart sorry depicts our adjusted consolidated liquidity, which now stands at $5.5 billion before factoring the expected $1 billion of proceeds in the sale of Chellomedia. At September 30, we have total cash of $2.2 billion, including $1.2 billion at the parent. And in addition to cash, we have $3.3 billion of maximum borrowing capacity under our revolving lines at the end of Q3, of which we would expect to be able to borrow $2.4 billion upon completion of our Q3 reporting requirements. And then finally, turning to the right hand part of the slide, we continue to be consistent buyers of our equity. From mid-June through September 30, we purchased approximately $700 million, about 20% of our two-year $2.5 billion share repurchase target. And as Mike pointed our earlier on, we are continuing to buy our stock and were active buyers in October. So turning to Slide 19, in closing our Q3 and year-to-date performance remains steady. Subscriber growth in Q3 and what we have seen through October should provide us with good momentum in Q4 and into 2014. We have made some good progress with Virgin Media there is lots to do and we are very pleased with our progress and particularly with the synergy upside. And our capital deployment strategy is in high gear. We have got $1 billion of equity repurchase through October and we are on track to complete our two-year target of $2.5 billion of buybacks by the middle of 2015. And with that our prepared remarks are complete, so operator, can we open up the call for questions please?
Operator: (Operator Instructions) And we will take our first question from Jeff Wlodarczak with Pivotal Research Group.
Jeff Wlodarczak - Pivotal Research Group: Good morning guys. I wanted to focus on Virgin can you provide more color on the timing of when you expect the VMED synergies to benefit your results? And you touched on that in your prepared comments, but can you help size out the VMED synergies actually in the third quarter and what you expect in the fourth quarter? And then I have one follow up.
Mike Fries: Jeff, it’s Mike. And I don’t know if Tom is on the phone or not. So I maybe let him chime in, but we said in the remarks, I think is what we will stick to which is run rate synergies ought to be in full swing by 2016. And perhaps and as we move to that date, we are implementing obviously a greater and greater percentage of those. I don’t think we are giving any interim estimates of those synergies at least not on this call.
Tom Mockridge: And what I would suggest is that in Q3 of this year, we first bought the company, there was a series of integration costs that we are incurring. But I think as Mike said it’s fair to assume that the synergies are going to kick in next year, there is limited impact this year.
Mike Fries: Definitely positive next year through even after integration costs and substantial, but I am not – on this call we are not prepared to give you those numbers today.
Jeff Wlodarczak - Pivotal Research Group: And by the way, Mike, when you said mid-single digits earlier, you were talking specifically about the UK, right?
Mike Fries: Well, I have seen it couple of times, but it relates to all markets, the group and well, yes.
Jeff Wlodarczak - Pivotal Research Group: Fair enough. And then in the UK at least temporarily it seemed to get somewhat more competitive around the launch of BT Sports, but you all seemed to weather that just fine, when should we expect RGUs to begin reaccelerating in the UK?
Mike Fries: Well, obviously we have putting on budgets together now and we expect next year positive RGU growth in the UK market. Fourth quarter is hard to predict, but certainly next year, our budget is for positive RGU growth and customer growth.
Jeff Wlodarczak - Pivotal Research Group: Great, thank you.
Mike Fries: Okay.
Operator: And we will take our next question from Ben Swinburne with Morgan Stanley.
Ben Swinburne - Morgan Stanley: Thank you. Good morning. Mike, could you spend a couple of more minutes just on your comments around content? I think the sale of Chello obviously brings in a lot of new cash, but it sounds like you are still interested in owning content or at least looking at exploring those options. Can you just spend a little more time on what might be interesting? And if vertical integration or greater level of vertical integration is interesting to you longer term for the company?
Mike Fries: Sure. I mean, let me just spend a second explaining to those who may not know what the logic or rationale was for exiting the Chellomedia business. It’s a great business, but it’s geographically diverse in 138 countries and just wasn’t an important strategic element of our core distribution of business. We have relatively small percentage of that revenue. And we felt that we could take those resources and allocate them into strategic content investments or other opportunities that would drive our core business. That was the main objective to get more geographic focus and more focus around content that we know was going to move the needle. And now we are not prepared to take exactly what those things might be except that you can imagine or expect that we are investing considerably more in online rights today. We are investing in our SWOT tier as we prepare to preempt over the top tight competition. We have a couple of premium sports and movies channels that we are looking at perhaps rationalizing. I think it’s too soon to tell you exactly what it will look like, but it will be things that we know over the next five years really drive the core distribution business as opposed to what Chellomedia was which was an amazing entrepreneurial journey and the creation of $1 billion from scratch, what wasn’t really aligned with our core distribution business.
Ben Swinburne - Morgan Stanley: Got it, that’s helpful. And then on an unrelated topic going back to Virgin and the B2B business, this was a business that we thought had a decent backlog of sort of large contracts coming into the back half. I know you have shifted how the accounting works or the reporting works, but just give us a sense for what the backlog looks like? I know there are some government contracts in that business, maybe there is some cyclicality or something tied to sort of government spending, but any more color on the B2B outlook would also be helpful?
Mike Fries: Well, I mean I think that the good news is that we had positive rebased growth in the growth. There is a new management team we all feel very comfortable with is going to do good things and Diederik you might want to chime in here. There have been a few wins that got a nice business in the public sector, which is a big chunk of the growth in that market. There have been some recent backhaul wins at Telefonica and Sky and Vodafone. We are enhancing the products across the footprint where we operate. So I mean, I am confident the team has the issues understood and the products and the marketing mindset have to get the business back on track. As I have said in my remarks, we are only 4% of the B2B market in the UK and there are virtually no SoHo revenue streams to speak of in our business. So there is plenty of opportunity. And Diederik, you may want to add to that, but I think it’s about really just blocking and tackling in the core business first and foremost.
Diederik Karsten: And maybe to add to that, Mike an additional opportunity might be an area of strength which we are developing in Continental Europe, which is to SoHo from a transactional point of view different, different segment, but that is virtually also un-existing in our portfolio that might be a truly new opportunity in the UK so from that point of view. And the key win you mentioned by the way is called Vue Cinemas, on top of the backhaul. So it’s not only adding new customers, it’s also kind of controlling the churn. And from that we hope to indeed reverse the trend first signs are there, but it’s still a journey like you said.
Ben Swinburne - Morgan Stanley: Got it. Thank you very much. Yes, thank you.
Mike Fries: Welcome.
Operator: And we will take our next question from Michael Bishop with Barclays.
Michael Bishop - Barclays: Hi guys. Just a quick question on the progress on mobile across the group, we clearly saw another good quarter from Telenet and some new initiatives there in the fourth quarter and you mentioned pushing mobile and Wi-Fi in the Netherlands, but could you just talk a little bit more around the timing going forward in the key markets please? Thanks.
Mike Fries: Sure. Diederik do you want to hit that?
Diederik Karsten: Yes. In the Netherlands, as we speak go through the national rollout of the, what is called the homespot expansion, like Ziggo has been doing, by the way, both of us calling the product Wi-Fi hotspots which will make the awareness of this product cable versus telco. I’d say more prominent. It’s exactly the same in other countries. Belgium is already ahead of us. They have a combination of homespots as well as hotspots, which are more the public spots. And within six to eight weeks, we are also planning to add the homespots based on the Euro DOCSIS 3.0 EMTA in four more countries. We did not announced it most countries, so I’d say for competitive reasons, we are not elaborating too much on that.
Mike Fries: As you know and I have said publicly, we have had 4 million mobile subs. They would have been up in the quarter, except for the fact that we re-characterized the Chilean mobile subscriber definitions in the lost subscribers there at least from an accounting point of view or reporting point of view, but the plan remains the same as I have articulated in the past. We have a central MVNO platform that will service up to eight markets, seven markets for sure in the continent. We have MVNOs in all of the core markets where we are going to be launching. We have today already 83% of our subscribers can buy a quad play product today. So there is – we are up and running. I mean, we have 90% of the sales that we are making today are going to our existing video subscribers. So the quad play for us is going to be an important piece of our revenue growth over the next three to five years. It’s certainly something we have invested time and effort into. We also as you may have seen, took Graeme Oxby, who was running the mobile business for Virgin and put him in a European wide mobile position. So he is now running all of our mobile businesses across Europe as of I think a few weeks ago. And I think that shows the commitment we have to rolling this product out. And again, rolling it out in a capital like variable cost manner which means we won’t be buying spectrum and investing heavily in network. We are really using the full MVNO model and it in many instances SIM cards. And I think being shrewd and clever about how we attack the market to retain our core customers, but also drive our revenue streams.
Michael Bishop - Barclays: Thanks guys.
Mike Fries: Yes.
Operator: And we will take our next question from Jason Bazinet with Citi.
Jason Bazinet - Citi: I was just wondering if you could provide a bit more color on sort of the declines in the B2B market in the UK and I ask only because when I think about the dynamics in the U.S., it seems like there is a price umbrella of the attackers go in and take share? And so if you could just provide a little color in terms of the competitive dynamics that are going on there, that would be great?
Mike Fries: Sure. Diederik, you want to tackle that?
Diederik Karsten: Well, the dynamics of the decline is basically I’d say competitive by traditional voice market in some of the medium size segments, where lot of contract renewals are now up for kind of tendering procedures, but as we just spoke about I mean against those declines, there is plenty of opportunities of offsetting in other segments. Pricing also grows Continental Europe particularly on voice has been under pressure already for years. So there is nothing new and we see kind of the same trend in the UK. Since it’s almost 14%, 15% of the total revenue, it’s obviously kind of a chunk which we’ve tried to defend but the pricing erosion as such is not a new phenomenon, it’s kind of a known trend. It’s also the declining voice usage, which we also see new residential, which puts the volume under pressure. But again I wouldn’t say that is something particularly dramatic for UK.
Jason Bazinet - Citi: And it seems that that your go-to-market process, or the sales people that you have going after the segment is sufficiently ramped up, I mean, is it – is the way you wanted to be in terms of getting new account wins to offset whatever pricing declines are going on?
Mike Fries: Also, I’ve been talked to (indiscernible) and that the management team, we’d say that we are obviously revisiting the approaches of the different sales channels, the new as well as the current sales channels and in that process we will further sharpen I would say our approaches also from a headcount and competence point of view.
Jason Bazinet - Citi: Okay, alright, thank you.
Mike Fries: I think the main thrust, though, is to make sure we are staying relevant in the large-medium business and small-medium business and so sectors were – in the large public segment we’ve got pretty good market share about 14%, but if you look at the small-medium business or SOHO were 0% to 3%, – 3% to 0% so, it’s also about refocusing the sales effort on business that we know we can achieve greater sharing.
Jason Bazinet - Citi: Very helpful. Thank you.
Operator: And we’ll take our next question from Tim Boddy with Goldman Sachs.
Tim Boddy – Goldman Sachs: Yes, thanks for the question. : I wanted to ask about Germany where obviously there is some headwinds from the carriage fee roll-off, but we’ve seen growth slow from 9.5% in Q1 on the revenue side to 6.5%. I’m including a little bit of a slow down on ARPU growth and I just it would be helpful to understand is 6% the new normal, obviously, we saw a profit warning from KDG at the start of October. Is something changing in that market? Any color would be useful. Thanks.
Mike Fries: I mean, the only thing I mentioned this in my remarks and I will let Diederik chime in on it further. As we are looking at or trying to ensure that our growth over the long haul sustainable and is driving the most positive economic result. It’s easy to add more and more customers and we are good at that, but we want to make sure we’re not adding customers as simply for that purpose that we’re adding customers that are profitable and driving our core financial returns. So, as I mentioned in my remarks, we are doing things to perhaps that might have the small impact on volume in the next 12 months, but we’ll drive greater revenue and EBITDA growth. We’re not giving forecast here today, but we believe Germany will be above our average guidance if you will and it comes to revenue and EBITDA growth and we’ll continue to be one of our fastest growing market. I think it’s just the fact that had an interesting inflation point, we’re taking all of the broadband market share, we’re launching new video products, we’re seeing good solid volume and we want to make sure, we’re maintaining pricing power and that would be smart about deriving the most revenue out of each customer that we can so, there is no fundamental shifts there, it’s more tweaking I would say, of the model. Do you want to add anything to that, Diederik?
Diederik Karsten: I thought that, for instance last year, if you carve out just for the loss of the feed in, the growth would be higher closer to 8%, so which also underpins what you just said that there is no structural change, but there is still at the higher level just mentioned.
Tim Boddy – Goldman Sachs: And just on the pricing power point in Germany, I guess some of the prices that are out there. I think you go 25 year or a double play package at Unity, are quite deflationary to the market. I guess I’ll just ask the question a different way. Are you confident that we can see pricing power in that market or is it still going to be very share focused until we kind of normalize the copper versus cable balance to the more typical 40-60, 50-50 type of balance that you see in other countries? Thanks.
Mike Fries: If you look at our core product, which is 100 Mbps and with Horizon on there, we’re charging €33 in the first year, €40 on the second year and of course Horizon is an incremental to that. A DVR is €5, there's more movement. So, I think actually ARPUs in that markets are in really good new story and then we can drive ARPU of 30% in three years. I think that is positive. We’re not – many of our markets, ARPU is harder – the customer is harder to grow because we are already relatively expensive. This is a market whether we believe there is no order to go but up in terms of the amount of revenue we’re generating from each customer. And I think our products are competitively priced, and as we continue to distance ourselves from the competition in terms of the quality of our bundles and you will see that price improved, but we are just find the right mix of price and volume and we’re getting both this market which is positive.
Tim Boddy – Goldman Sachs: Thanks very much.
Mike Fries: Sure.
Operator: And we’ll take our next question from Bryan Kraft with Evercore.
Bryan Kraft – Evercore: Hi, good morning. Just a clarification on the doubling of the synergies, are you expecting the OpEx and the CapEx components both to approximately double the original estimates or is the OpEx piece going to be more than doubling? Can you just elaborate on the benefits you are expecting from the new contract with Everything Everywhere in the UK? Thank you.
Mike Fries: Yeah, I don’t know that we’re disclosing today. In fact, I’m sure not, how that synergy number break down, but it’s healthy – it’s a healthy increase across both components. I’ll just say it that way and Diederik, do you want to hit the Everything Everywhere contract or, Balan, if you on.
Balan Nair: Yeah, on the EE contract, you will see, in our case, a significant – a pretty good sized drop in the pricing on a per minute basis and on a per-mbps basis so, this is a much better contract for us, and it’s tied to the fact that we are also going to launch our core infrastructure in that so, we will own the cost – core controls, the HLR etcetera and you will turn from a light MVNO to a full MVNO in the UK.
Bryan Kraft – Evercore: Thanks, If I could just follow up on that and where are you guys in terms of shifting from 3G to 4G on the EE’s network?
Mike Fries: Yeah, so that’s a couple of things to be need to be on the upgrade utility to go to 4G, but for the most part we will be reselling 3G and 4G products as well.
Bryan Kraft – Evercore: Okay, thank you.
Operator: And we’ll take our next question from Will Milner with Arete Research.
Will Milner – Arete Research: Thanks, just – I have a couple on Virgin. Firstly, just in the third quarter. The OCF growth looked pretty good given what’s going on in the market. I just wondered if you can elaborate on how your sales and marketing expense looked year-over-year, obviously, the disclosure around costs has reduced, but it would be quite interesting just to figure out what you guys have done on marketing year-over-year. And then secondly, at Virgin, as you look into the fourth quarter, you mentioned a tough comp, some non-recurring items in the fourth quarter of last year and I guess we also need to think about the subsidy impact from selling iPhones for the first time. So, I wonder if you can just talk about, and I guess firstly, that the subsidy hits we should expect from selling iPhones for the first time. And then thinking through really, should we be looking at OCF growth year-over-year in the fourth quarter at Virgin? Thanks.
Mike Fries: Sure. Tom, are you on the line? I think someone said you were.
Tom Mockridge: Yes, Mike, good morning.
Mike Fries: Terrific, do you want to take a crack at either of those? Everybody, it’s Tom Mockridge. I don’t think he has been on a call with us yet, but he is the CEO of Virgin.
Tom Mockridge: Good morning. Regarding the iPhone question, we will be very targeted in the way that we packaged the proposition is there and we think we can do that within the current envelope of the Virgin mobile business and so we’re certainly not looking to price down on the great product and expensive product so we’re not looking to use price as the primary driver there and we see that is supporting and increased move into quad play. You might just remind me what was the…
Mike Fries: The question about marketing spend which I think it’s fair to say it’s been lower relative to the market in the third quarter relative to our peers because you had BT Sports ramping up, Sky reacting, so in the third quarter we’d reflected I think this is fair, Tom, a less than normal marketing spend for us, easy comparison to our peers.
Will Milner – Arete Research: Would that apply year-over-year, Mike?
Mike Fries: What do you mean by that? Will that continue, you mean?
Will Milner – Arete Research: No, in the third quarter was the marketing expense lower than it was in the third quarter of last year?
Mike Fries: Good question, I don’t know, but I know Tom, you may know the answer to that.
Tom Mockridge: I think – it was broadly the same. What we saw was our competitors going up very significantly with the sports battle and broadband battle between the Sky and BT has clearly had an impact on it, but we were pleased with the result that we held numbers and had some modest growth and we are differently seeing benefits now on our churn, which we attribute significantly to the acquisition of BT Sport.
Will Milner – Arete Research: Okay. Could I just have one very quick follow-up? Obviously in the U.K., it’s been in the press, there’s been quite a lot of management redundancies and I Just thinking about the fourth quarter, should we expect a restructuring charge in the fourth quarter related to those headcount reduction?
Mike Fries: We did take a restructuring charge in Q3 and I think I will be an ongoing effort as well so, you will see more in Q4. The other question you ask is a tough comp in Q4, I think we did disclose that there were some non-recurring one-offs what at Virgin in Q4 of last year and the number we said it was £15 million so that’s going to impact the growth rate in Q4 as well.
Will Milner – Arete Research: Okay, thank you.
Operator: And we’ll take our next question from Frank Knowles with New Street Research.
Frank Knowles – New Street Research: Yes, good afternoon. Actually I have a couple of follow-up questions on topics that have been discussed a bit. One for Tom, just in terms of the increased marketing spend from Sky and BT in the U.K. market, it looks, obviously, TalkTalk have yet to report. It looked to us as if actually there has been an expansion of the market in general. You had a better quarter than the second quarter, as in fact have the other companies to report. I’m just wondered on your thoughts as to whether actually there has been some market expansion as well, rather than just a fight for market share in the broadband section of the U.K.? And then Also, I had a question on the Wi-Fi rollout that was talked about earlier, if I don’t know if this is Balan or Diederik, but how many of your modems across Europe are already capable of offering multiple SSIDs and if not, if you give a rough idea of the cost of upgrading those modems to allow that Wi-Fi rollout across the footprint? That would be great, thank you.
Mike Fries: Balan, do you want to take the dual SSID question?
Balan Nair: Sure, so, but two years ago, we consciously made a decision that all new DOCSIS 3.0 EMTA will have the dual SSID – Wi-Fi enabled dual SSID, my sense is by middle of next year you will see the seven-digit numbers of homespots made available.
Mike Fries: Any incremental cost is not – all of EMTA as we’re rolling out today have the SSID in that, that’s the good – that’s the point I think you had and not a meaningful incremental cost so, all new devices how that built it.
Tom Mockridge: Just the second SSID cost is minimal to non-existing.
Mike Fries: Tom, the question to you was whether our growth – whether the overall market is expanding and what we are seeing.
Tom Mockridge: But I think the observation is completely correct. It’s an underrated point in the United Kingdom that people look at it as a mature market with full scale operators, but relative to other European market, there were still substantial growth here is about a quarter of homes or even more that don’t have broadband connections. So, there is still significant opportunity to grow the market and as you suggest clearly that’s the one thing that has been acting with the more intense marketing from our competitors. There is also an increasing shift to highest needs and as BT emphasizes its product and Sky resells it, that’s coming into a point of high price points where for more capacity which is exactly where we are most competitive.
Mike Fries: We don’t have the numbers, say from TalkTalk, but my assessment is, and I think this is right. The three of us, BT, Sky and VMED added more broadband subs in the third quarter then we did in the third quarter of last year, nearly 300,000 I think something like that so, the market which seems to be growing in organically.
Frank Knowles – New Street Research: Okay. That’s clearly true for the numbers in the quarter, so it sounds, Tom, as if you think that’s a trend which has plenty of room to run over the next year or so? As you say, there is a good chunk of homes with no broadband and the increased promotion could push that up?
Tom Mockridge: Absolutely.
Frank Knowles – New Street Research: That’s great. Thank you.
Operator: And we’ll take our next question from Vijay Jayant with ISI Group.
Vijay Jayant – ISI Group: I think I’m going to move to the strategic side a little you guys made and allegedly by the press suggesting you made an offer for Ziggo. Any comments on just broadly what you’re thinking on for the M&A? I think you’ll look back on Telenet ends in January and also on – what’s happening in Chile related to your network sell down and is VTR eventually an asset that’s potentially for sale?
Mike Fries: Vijay, we’re not going to add anything to the chatter around as you go we’re happy with the 28 plus percent stake, they had a nice quarter, I think they’re showing the same sort of trends that we’re showing in Holland namely that cable wins and despite appeared to have a rationale competition from an incumbent. So, good blocking and tackling and a superior network always win out. That’s really all I can say about that. In Chile, it’s a core asset for us in terms of it’s growth profile and importance to the overall picture, but in the end we will be creative as we – as you can imagine outside of Europe, how best to evaluate that up that net particular asset, what’s the right way to grow in that region if there is an opportunity to grow in that region. So, I would say it’s not “for sale”, it’s not an asset that we view as something we can disclose ever want to, but it is – it does keep us thinking and strategizing about how best to exploit the opportunity just in Chile, but potentially in that region. So, we might have more save that in the next six months.
Vijay Jayant – ISI Group: Can I just follow up on Germany? Any color on, I think you guys appealed to the federal court on the KBW ruling. Any sense on timing, and if you want to even guess, how do you see this playing out.
Mike Fries: Well, I can say that we will be submitting the request to appeal how the case appealed in mid December and then we’ll find out that for that whether or not the case will be heard. If it’s not, then we will find ourselves back in the normal process with the FCO and whereby we will be negotiating with them, in essence, a new remedy package. And while I can’t tell you what that would look like, I can simply tell you that we will be making the argument to them and to anyone who will listen that the German market is meaningfully more competitive and dynamic then when the transaction was first reviewed that with the acquisition of KDG by Vodofone. We now have several national competitors with greater scale and substantial voice and data businesses who want to compete and we expect that the FCO could decide many things, not the least of which is, hey, you’re right, looks like even a better market situation today so, carry on or we need to tweak this or that in your remedy package. Whatever happens, it will not be material in my option to the overall business that we operate in Germany and we’ll be a foot note several years down the road when we talk about this market.
Vijay Jayant – ISI Group: Thanks Mike.
Mike Fries: Yep.
Operator: We’ll take our next question from Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan – Wunderlich Securities: Thank you. It really looks like you’ve done a better job of providing more value to the consumer across the packages on the price per bit or the speed upgrades, really on TV as well, but some other people have noted, it hasn’t fully flown through on the pricing power yet. Hopefully that gets there over time. If you look at Germany and you look at the revenues per relationship in the bundling ratio, I think you were actually up about 3% on a price per product basis. If you do the analysis in the legacy UPC markets on a rebase basis, I think you were actually down about 2% on a per product basis. I know things like Horizon haven’t really kicked in yet on a large number basis and I think Diederik alluded to the voice uses erosion, and all of that, but what else is going on there, I mean, when you do your strategic plans, do you think you’ll be able to price up low single digits at least on a per product basis across all of your markets or do you think you are going to be stuck in the mud for a while on account of the competitive situation?
Mike Fries: I think that it’s going to vary market-by-market, but the general trend that we forecast and foresee is greater and greater pricing power and that’s coming from a number of factors, one, you do take by the way, normal rate increases or price increases across most of our products in most of our markets related to the same inflation or cost of living and things of that nature. So, there is a built-in pricing impact just in the ordinary course and in the way to look at our business as you’ve already indicated, is around the bundle, not the product so, it’s very higher to the safer what our product prices are from our reported results. What you can decipher is what our customer ARPU is and on some level and how we will talk about in these calls in other places, how we’re pricing our overall bundles. Today we’re faster and cheaper and that has been the primary strategic thrust if you will. Over time, we will be faster and comparable or in most instances hopefully with our competitors in a rational way, driving more value into the market and as a result, driving more revenue from each home. So, you gave a good example of that, that’s the one end – that’s one book end, where every year we invest in new content, new applications, greater functionality and as a result, we are able to with our competitors, drive more revenue out of each household. Germany would be at the other end of that spectrum, it’s largely been a volume gain. We’re getting all of the broadband net ads in that market. I think in the last 12 months, there has been something like 715,000 cable net ads and broadband and the DSL base is declined 225,000 or something like that. So, we are getting not only all the organic growth in that market, but getting all their share too. And that is something that is attempting and we want to make sure we have that base to work with, but I can tell you that we’re very – certainly 2014 will show that there is a point of time in Germany, even in Germany where we can start driving greater revenue and more pricing power in that market and still have the volume success that we’re having. So again it’s a market-by-market question I will tell you though is fundamental objective of ours as a management team to get – to make sure every market is in the right place on that curve and we’re working on an everyday. So, it’s a good question.
Matthew Harrigan – Wunderlich Securities: I know you are really happy with the stability and consumer receptivity on Horizon right now. Are you pretty much going to wait for project on and all that before you go to some of the less affluent markets or are you seeing such residents of the consumer in Switzerland, Netherlands, Germany that you’d be tempted to do things across the board at least on the higher end before too long?
Mike Fries: Probably gone for those – may I know it refers to our cloud-based version of Horizon, which is essentially what Comcast is doing with X1 and X2 and that is basically ready to roll, and we will be putting that into most of our markets going forward? Balan, you might want to expand on that?
Balan Nair: Yeah, that’s true, Mike so, the plan is in most of our Eastern European countries especially we will do it in Belgium, in Chile, where will be rolling out the RDK-based platform.
Matthew Harrigan – Wunderlich Securities: Great, thank you.
Operator: And we’ll take our final question from Carl Murdock-Smith with JPMorgan.
Carl Murdock-Smith – JPMorgan: Hi, two questions please, just firstly kind of following up on the previous comments on pricing. Is it therefore safe to assume that will communicate your ordinary price increases in the U.K. in the coming months. And then just secondly, in terms of securing the iPhone obviously that was historically something that Virgin failed to agree. I was just wondering what’s changed there? Is it just a natural development of Virgin’s relationship with Apple overtime or is it potentially evidence of the greater bargaining and commitments that Liberty can bring above what Virgin could have done as a standalone? Thank you.
Mike Fries: In terms of pricing, I think in this market you’ve already seen a number of our competitors announced moderate price rises, but real increases still to take effect next year, we ourselves took a recent price rise on our broadband service product and that’s been rolled, that rise has been rolled out at the moment and had minimal impact on churn. So, it’s initiated, we are considering again at this moment and in the past I think you’re seeing the business stake, rational price rises in Q1 and I think you expect us to do that again. In terms of the iPhone, really it was – it was a combination of factors, but not the lease that as a subsidiary of Liberty Global and focused on our future. It was an opportunity to add the iPhone to the handset suite that we made available, I think under the – that the previous company was may be just more limited in its growth choices. With the confidence of the leadership of Liberty, that’s one of the decisions that we can make positive to go forward.
Carl Murdock-Smith – JPMorgan: That’s brilliant. Thank you.
Mike Fries - President and Chief Executive Officer: Right, listen everybody, it’s 8 o’clock here in Denver. We appreciate you are getting on the call. Good questions and good dialogue. For us anyway, we feel good about the quarter or as I said in my remarks we think all cylinders are firing here in terms of our growth, in terms of our approach to our balance sheet, in terms of our ability to buy back stock, and the strategic opportunities that we see in front of us. We are heavy into budgets, as you can imagine and looking forward to talking to you about the fourth quarter and given you some guidance on 2014 and beyond the next time we talk so, thanks for joining us.